Operator: Good day, ladies and gentlemen. My name is Sedaris, and I’ll be your conference operator today. At this time, I would like to welcome you to the Ford Motor Company Second Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the call over to Lynn Antipas Tyson, Executive Director of Investor Relations. Lynn?
Lynn Antipas Tyson: Thank you, Sedaris. Welcome everyone to Ford Motor Company’s second quarter earnings call. Presenting today are Jim Hackett, our President and CEO; and Tim Stone, our Chief Financial Officer. Also joining us today for Q&A are Jim Farley, Chief Operating Officer; and Marion Harris, CEO, Ford Credit. Jim Hackett will begin with some color on the quarter, and then, Tim, will talk about our results in more depth, and then we’ll turn to -- to turn -- turn to Q&A. Our results discussed today include some non-GAAP references. These are reconciled to the most comparable U.S. GAAP measures in the appendix of our earnings deck, which can be found along with the rest of our earnings materials at shareholder.ford.com. Today’s discussion includes forward-looking statements about our expectations. Actual results may differ from those stated and the most significant factors that could cause actual results to differ are included on slide 23. In addition, unless otherwise noted, all comparisons are year-over-year, company EBIT, EPS and operating cash flow are on an adjusted basis and product mix is on a volume weighted basis. A quick update on two upcoming IR events, first, on Monday, August 3rd, RBC will host a fireside chat with us. Tim Stone; Hau N Thai-Tang, our Chief Product Development and Purchasing Officer; and Gary Johnson, our Chief Manufacturing and Labor Affairs Officer will participate. And then on Wednesday, August 15th, Kumar Galhotra, President Americas and International Markets Group will participate in the Jefferies Industrial Conference. Now let me turn the call over to Jim Hackett.
Jim Hackett: Thanks, Lynn, and hello to everyone. In a moment I will share with you how absolutely proud I am of the way our team has performed during the COVID pandemic, which of course, has challenged every aspect of our business. But before I do, I don’t want this moment to pass without giving some important perspective on where Ford Motor Company stands relative to racial justice. I’ve been heartened, frankly, to see our industry, like, other industries step-up in the aftermath of the killing of George Floyd. And of course, hand-in-hand with others, there’s a deep outpouring of collective grief and frustration that moved us all very deeply. It was much more than a moment and time that will fade but rather, we must make it a turning point for our society. Ford is committed to leading from the front with action to enable social mobility and economic success in the African-American community, include -- including programs in which the company has invested for more than a century. The Ford Motor Company Fund in particular invests in a broad range of initiatives addressing social justice, racism, equality and economic opportunity, and we’re looking forward to more opportunities to affect positive change. Now, in the past week since Mr. Floyd death, I have met nightly with a small team of people to think as deeply as possible about what has not worked in the past that we need to address in the future. We’ve begun to map the experience of Black Lives of Ford and see areas where improvements and enhancement would go a long way to address many of the concerns that have been voiced. Ford is committed to leading from the front and taking action and the results will prove themselves over time. This is deeply a part of our culture and history in the Ford Motor Company Fund in particular, has invested over many decades at the ground level to address issues of social justice, racism, equality and economic opportunity, and we look forward to sharing much more of this in the future. Okay, so let me turn to the quarter, which I would summarize in two ways. First, strong execution in this challenging environment, and second, meaningful progress on our plan to create a vibrant Ford Motor Company with exciting products that people want and well-positioned to capitalize on the new technology and trends that are transforming our industry. I couldn’t be prouder, as I said, of the optimism and the effectiveness our team demonstrated managing through and beyond the COVID crisis. From the start, I think, Ford has distinguished itself on three principles, protecting our team and doing our part to limit the spread of the virus, safeguarding the health of our business and stepping up the building supplying much needed personal protective and healthcare equipment. On all three accounts [ph] the team performed exceptionally well under difficult circumstances. This strong execution enabled us to deliver much better financial results than we expected just three months ago. For example, our team did a fantastic job safely restarting production and wholesale exceeded targets. Frankly, our focus on safety enabled our efficient restart as we followed our return to work playbook very, very closely. Our focused on safety also extended to our supply chain as we work directly with our suppliers and logistics providers to minimize the disruption. In addition, our team also worked hard on costs, including CapEx, which help reduce losses and cash burn in the quarter ad these factors are what led to our outperformance. Another highlight of the quarter is our profitable Commercial Vehicle business. It continues to gain share globally. And Ford Credit, it remains a pillar of strength for our customers and it’s a competitive advantage. So we’re all proud to tell you that the balance sheet remains extremely solid and positions us to weather further disruptions and headwinds. Tim will provide further details in a moment on the balance sheet. Importantly, this intense focus on manage -- managing through the crisis is not knocked us off our mission to author own destiny and shape the future of Ford. Since our last earnings call, we have revealed the all new 2021 F-150 and are on our new Bronco family of vehicles. These vehicles along with upcoming Mustang Mach-E represent Ford’s modern product vision, highly desirable iconic vehicles packed with innovation and human-centered design features. And they’re fully connected in ways to enhance quality and constantly improving ownership experience through fast over the air updates. Let me give you some color on the F-150. The all new version we showed in June was born from decades of deep focus on what customers want, a new human-centered design capabilities that helps us invent the unobvious features and capability customers will love and value. The new F-150 is packed with dozens of new innovative features and upgrades that we believe will make this the market leading truck for 43 years and that’s an even stronger proposition for our customers. We’re in great shape to launch the new one -- the new F-150 on time, and with high quality, which of course, requires now change over in our plants in Dearborn in Kansas City. An important sell down of the current model is also going well as demonstrated by great news in our market share. For example, in the U.S. while sales decline, we perform better than the industry due in part to the strength from our trucks that’s being the F-150, Ranger and our SUVs exploring Lincoln Aviator and Corsair. The total share was up 20 basis points in the quarter to 14.5% and within that number our retail share was up 120 basis points to 13.3% as series gained 250 basis points of segment share to 33.3% Turning to the all new Bronco. The outpouring of enthusiasm from the public immediate after the reveal earlier this month, candidly speaks for itself. Reservations for Bronco, well, they surpassed even our most optimistic initial projections. Our entire team like the over 150,000 customers who reserve one are super excited about the Bronco. This family of vehicles has big upside potential in the growing off-road category and this is a category with a leading OEM. There’s not been seriously challenged until now and we have proven credibility in this off-road space with Raptor in particular and we are the number one cross shop brand for jeep today. Initial customer demand for Bronco is so high that we are actively working to increase our annual production right now. I also want to give you a quick personal story on the status of the Mach-E, which will go on sale later this year and opportunity to drive an advanced prototype recently in Ann Arbor [ph]. The experience was just stunning from start to finish. When you sit in the driver’s seat, everything is personalized. My profile automatically loaded into the Mach-E before I press the start button, seat position, screen colors, preferences, Apple CarPlay in ways were seamlessly integrated into the SYNC 4 system. I didn’t set off on drive in whisper mode. Now the drive was astonishingly smooth and powerful. And I use the one pedal driving system, braking and battery regeneration were perfectly integrated. Then, I did switch on bridle mode. You can see me smiling and I can tell you the performance was pure Mustang. Sure foot [ph] is incredibly quick as I took curves. The experience was incredibly intuitive and the cluster tells you exactly what you need to know, if nothing extraneous. Yes, I left with a big smile on my face because I know our customers will soon enjoy this same experience. When I see these products come to life, I feel better and better about our decision to reallocate capital spending from sedans to trucks and commercial vehicles and SUVs, was controversial at the time, it’s paying off. We have even more new products in the pipeline in areas where Ford is strong today and its whitespaces where we can earn stronger returns and grow share. Now these new products are critical to our target to reduce the age of our showroom in the U.S. by over 40% or more competitive 3.1 years by 2023. OEMs really with the highest replacement rate and younger showroom age have generally gained market share profitably. It’s a good place to be in. By several third-party measurements, Ford brand reputation is improving as well and we believe we have much more potential for improvement as we launch these new exciting products. I just want to take a moment and touch on our plan for electric vehicles. We’re about midway through our plan to invest more than $11.5 billion through 2022 and there’ll be more after that with an increasing mix of spend on all-electric vehicles. For bringing the power of choice to our customers with hybrids, plug-in hybrids and pure electric, by the fourth quarter, we’ll have 15 electrified nameplates available to customers around the world and nearly 10% of our wholesales will come from some Ford forms, excuse me, of electrification. We are deploying this technology across our lineup and price points to bring improved capability, fuel economy and emissions to as many people as possible just as we did with our EcoBoost technology a decade ago. Nameplates that will follow are all-electric are the territory in China are Escape and Kuga plug-in hybrids, which offer an estimated 100 mpg and the F-150 PowerBoost hybrid, I just ordered one of these, as well as our Mustang Mach-E BEV. These will be followed by an all-electric versions of our market leading F-150 and Transit vans. Electric vehicles are also a big part of Lincoln’s future and you’ll see this unfold in the months and years ahead. As you know, in June, we finalized our strategic alignment -- alliance with VW, which will accelerate execution of our commercial vehicle and electric vehicle strategy. This alliance also significantly strengthens Argo AI, which now combines unmatched expertise with the global reach of Ford and VW together. This positions Ford well as self-driving vehicles become a significant new source of revenue and profit in the years to come. Maybe journey will be a long one, but Ford is now well-positioned to run this race and compete like few others can. Finally, in a moment, Tim will provide an update on the progress of our global redesign. We are aggressively reshaping our business and restructuring underperforming operations around the world, rationalizing our product portfolio to play to our strengths and attacking costs. Obviously, Ford isn’t immune to the effects of the pandemic, including the new vehicle market that has been waylaid by the pandemic. But we continue to manage through this crisis even as we continue to create a vibrant profitably growing company, one that we’re confident, we’ll win in an era of smart vehicles for a smart world. With that, I’ll turn it over to Tim for more color on the quarter and our expectations for the remainder of the year. Tim?
Tim Stone: Great. Thanks, Jim. In addition to our operational execution this quarter, in the face of unprecedented industry headwinds, our results demonstrated progress as we fix areas of the business that have held us back in the past, including cost and launch execution. And acceleration in areas of strength like commercial vehicles and SUVs, as well as newer capabilities like connectivity, tangible progress in electrification and autonomous vehicles, both essential to our long-term growth. And lastly, the favorable impacts of our global redesign and a more focused portfolio of fresh products for customers. We also demonstrated discipline in the management of our balance sheet and continue to maintain strong liquidity to ensure financial flexibility in these uncertain times. We ended the quarter with over $39 billion in cash and liquidity, reflecting almost $10 billion of new debt in the quarter, including the $8 billion unsecured issuance we completed in April. In the second quarter, our working capital dynamics played out as we highlighted on our first quarter earnings call. As production resumed in mid-May, our payables and cash balance recovered sharply. The restoration and production payables will continue into the third quarter, as we reach near full production in late June. On July 27th, we repaid $7.7 billion of our outstanding $15.4 billion corporate revolvers. We also extended $4.8 billion of our lines of credit from April 22 to July 23. Our current liquidity of almost $40 billion is sufficient to maintain or exceed our target cash balance of $20 billion through the second half of this year, even if global demand declines, or if there’s another wave of COVID-related plant closures. Looking at results in automotive, both wholesale and revenue are down due to the suspension in manufacturing. To give you some color on wholesales, earlier this year, pre-COVID, we had expected wholesale units to be about 800,000 higher than the 645,000 we reported in the quarter. Our decline in automotive EBIT was driven by the decline in volume. So this was partially offset by over a $1 billion improvement in both net pricing and cost. The cost improvement was a net of four primary areas, lower structural costs, due to suspended production and one-time cost actions like reduced marketing, both of which were partially offset by higher material costs for new products and regulatory compliance and higher warranty. We do expect warranty to be up for the year. Looking at our business units in more detail, North America was shut down for six weeks in the quarter, but like the other regions, manufacturing came up smoothly. In fact, North America was operating about -- at about 95% of pre-COVID production levels by the end of the quarter. In addition to the improvements in share, as Jim mentioned, the North America team was laser focused on minimizing the impacts of lower volume through the aggressive management of costs, including reducing facility costs, media spend and the elimination of all discretionary spending. The team also focused on yield management actions, which benefit both revenue and EBIT. In South America, our plants were mostly idled in the quarter. But as with North America, we brought production up efficiently. Market share declined largely driven by lower sales to rental companies and our global redesign actions last year to exit heavy trucks and unprofitable products, such as Fiesta and Focus. However, both Ranger and EcoSport did well, as Ranger the number two midsize pickup globally gained share. Relative to profitability, this was the third consecutive quarter of improving year-over-year results as we continue to hone our cost position, including lower headcount and improve mix. In Europe, all of our plants came up successfully by May 4th. Profitability was favorably impacted by the benefits of our global redesign, as well as our more focused approach on three customer segments, commercial vehicles, select passenger vehicles and imports. Relative to global redesign, we are on track to deliver by the end of this year roughly a $1 billion improvement in structural cost since the actions began during the third quarter of 2018. This includes a 10,000 positions in Western Europe, of which 7,500 reductions have been completed, a reduction of over 2,000 positions in Europe. The balance of the positions in Western Europe will be eliminated by the end of this year. We’ve also reduced costs by reducing our manufacturing footprint by six facilities down to a total of 17. Or sharper focus on product strengths, allowed us to extend our leadership in commercial vehicles, as we reached 15.1% share in June, an increase of 220 basis points. We are on track this year to meet the new CO2 regulatory requirements for both passenger and commercial vehicles supported by our growing portfolio of electrified vehicles. For example, in the first half of this year, our new Puma MHEV reached 80% mix and Kuga PHEV and MHEV collectively reached 57% mix. Now on the horizon, about Transit, we are enjoying our Transit families ICE and hybrid powertrains. In China, the only region to post again the wholesales, wholesales were up double digits, as we’ve benefited from the newly launched Escape and Lincoln Corsair and strong commercial vehicle sales. Corsair, our first locally produced Lincoln products contributed to a 12% increase in sales from Lincoln and the all new locally produced Aviator is launching now. China also posted its second consecutive quarter of share gain of 20 basis points to 2.5%, its highest market share since the third quarter 2018. Our strength in commercial vehicles was supported by a 34% increase in sales at JMC, our JV partner, which gained 40 basis points a share. As with other regions through cost discipline, China has done a great job mitigating the profit impact of COVID. China’s focus on cash flow also delivered a step function change in working capital, driven by the benefits of localization, as well as CapEx efficiencies. In mobility, we continue to make investments to commercialize our Autonomous Vehicle business, including product development, engineering and testing. Our six test markets for Argo AI constitute what we believe is the largest active urban test footprint of any self driving vehicle developer. As Jim mentioned, in the quarter, we closed on our new partnership with VW and Argo AI. This generate -- generated a gain of $3.5 billion, which was recorded as a special item. Argo AI, which is the self-driving system portion of our AV business, is now deconsolidated. Despite the deconsolidation, we do expect our investments in AV reflected in our consolidated mobility results to continue at similar levels for the reasons I noted earlier. In mobility we also continue to invest to build out capabilities and connected services, including our FordPass and Ford Commercial Solutions platforms. In fact, we’ve centralized our enterprise connectivity team to accelerate the delivery of human-centered connected experiences for our customers. We expect this sharper focus to also provide benefits to the enterprise to improve customer experience and quality. Ford Credit delivered a strong profitable quarter, demonstrating its uniquely compelling value for customers and competitive advantage. Our prudent actions in the first quarter ensured we were adequately reserved in light of the macro uncertainty created by COVID. Portfolio performance was strong, and delinquencies and charge-offs were record levels -- record low levels. Ford Credit provided extensions to about 11% of U.S. customers through May, an unprecedented move. Over 90% of these customers have resumed payments without delinquency and we are very pleased with the performance of this portfolio. Lease share remain below industry average and off lease auction performance was better than expected, up 3% sequentially and down 2% year-over-year. We began the quarter with close auctions, growing inventory and falling prices. However, May we saw a healthy recovery in auction volume and prices. At present, we forecast lower auction values for the full year of about 5% consistent with third-party estimates. Now let me turn to guidance. Guidance assumes no meaningful change with current economic environment, continues steady improvement in the stability of the global automotive supply base and no further significant COVID-related disruptions to production or distribution. In the third quarter, we expect to be profitable with adjusted EBIT of $0.5 billion to $1.5 billion, reflecting the economic impact of COVID, weaker global demand for new vehicles, parts and services, and lower profit from Ford Credit. Our recent practice has been to comment on the upcoming quarter only, because of the significant launch activity in the fourth quarter, we thought some early color would be helpful. We expect adjusted EBIT to be a loss in the fourth quarter, driven by the volume impact of new F-150 launch and lower ongoing industry volumes. Note that our major launches in North America have shifted to the fourth quarter in line with our COVID-related production disruption.  We anticipate the downtime changeover and ramp-up will reduce F-150 wholesale significantly in the quarter. This launch impact will more than offset the non-occurrence of the 2019 UAW contract bonuses in the fourth quarter, which is worth roughly $600 million. Our new Bronco Sport and Mustang Mach-E are also launching in the quarter. The limited level of wholesales will not have a material impact on our fourth quarter results. We also expect lower Ford Credit profits in the fourth quarter versus last year. All that said, we expect adjusted EBIT to be a loss for the full year. I’m optimistic that we’re well-positioned for what lies ahead and to deliver excellent products and services for our customers. With that, let me turn the call back to, Jim, for a few comments before we move to Q&A.
Jim Hackett: Thanks, Tim. Yeah. Just a few comments, I want to reinforce the following about the quarter and the second half of this year. In the face of unprecedented sector headwinds operationally, we maintained robust safety protocols and aggressively mitigated production losses, while effectively navigating a tenuous supply base, I mean, everything was in motion. We’re keenly focused on cost and cash discipline. Jim Farley led an effort here that’s just extraordinary. We are optimistic and ready for the production ramp-up of the F-150, the Mach-E as you’ve heard, the Bronco Sport and Bronco, all with the spirit of high quality and extreme focus on doing a great job there. We continue important investments. We didn’t stop spending on the future in commercial vehicles, AV, connectivity and electrification. We did continue to implement our global redesign and portfolio refresh and we have measurable results to show that this is going very well. And as you just heard from Tim, we did a great job of this. We have a discipline management of our balance sheet and an extremely strong liquidity position from all the actions we took earlier this year. This ensures our financial flexibility, particularly as we know in uncertain time. So, Operator, with that, let’s move to Q&A, please.
Operator: Okay. [Operator Instructions] Your first question comes from a line of John Murphy with Bank of America.
John Murphy: Good evening, guys. Just a first question, Tim, as we look at sort of the guidance you’d given us on the second quarter. You kind of blew it out of the water here. I mean, you’re talking about a $5 billion plus EBIT loss, and you came in well better than that. I’m just curious, what changed and what do you think the major factors are? And then also, I mean, if you think about price and cost, which seemed to be two big levers, how sticky could those benefits be going forward. So really just -- what change and how durable is the change?
Tim Stone: Great. Ultimately, the performance in the second quarter comes down to operational execution by the teams. And if you look at our return to work, which is not only safely, but production in our wholesales, vehicle sales came with that and inventory management, really strong performance by the teams. We were near full production by the end of the quarter and we -- greater cost reductions and cash reductions than we had anticipated initially as well. Again, base on the keen focus on cost and cash. There is also favorable pricing environment for products and mix. And Ford Credit auction values and credit losses overall portfolio performance was strong. So, I guess, at the end of the day a strong execution. And as it relate -- second part of your question again was -- as related to how much sales is going to prevail in the year?
John Murphy: Well -- yeah. How sticky is that sort of that outperformance, because it does sound like a lot of it was micro, and as you said, just execution, I mean, do you think some of that was sort of transitory in response to sort of austerity measures or how sticky is this?
Tim Stone: I think the operational execution is something we pride ourselves on and expect to work really hard to make sure it’s very sticky. We’ve got a lot of work ahead of us for sure in the back half of the year with some really important launches in the fourth quarter and we continue to drive improvements in the fixed accelerate grow areas that we’ve talked about. But as reflected in our guidance for profitability in the third quarter is, we’re going to continue to operate in an operationally excellent manner.
John Murphy: Okay. And then just a second question, I think, Jim Farley is on, when we look at the Bronco launch, a lot of hype around the truck, which is, at least from my opinion is well deserved, a lot of excitement there around the Sport as well this year. But it seems like there is -- this is sort of the start of something much more than even just those two vehicles when you talk about the Bronco family. So just trying to understand, will we be looking at something four years, five years, six years down the line, where there could be a portfolio of Bronco vehicles that mimics or mirrors sort of more what jeep has. I am just trying to understand what the potential is above and beyond what we know at the moment and it seems like there’s a lot more on the horizon?
Jim Farley: Thanks, John. Hi. As Jim and Tim mentioned, the Bronco reception has been very positive. The reservation numbers are far beyond what we expected and these are two broad appeal nameplates in three body styles, so we don’t have in our portfolio today. So we’re not getting ahead of ourselves on Bronco. We have a lot of work to do to launch these products to do with world-class quality and don’t forget our ambition is to launch over 200 accessories and really create a brand, the sub-brand within Ford like we have like F-Series. So we have a lot to do and that’s what we’re focused on. John, there is no shortage of great ideas for Bronco’s Ford Motor Company. But we have a great foundation to start with these three names -- these three body styles. I would expect for, like, we’ve always done, like, we’ve learned from F-Series over the years, decades, that will rollout family or Bronco like we’re doing in our own way, targeted to our own customers, where we see openings in the market for customers to be thrilled and we do see that opportunity in the market. So I wouldn’t hold ourselves or benchmark ourselves against another OEM, our ideas is to play to win by going after specific customers that are underserved. Thanks.
John Murphy: Great. Thank you very much.
Operator: Your next question comes from the line of Emmanuel Rosner, Deutsche Bank.
Emmanuel Rosner: Hi. Good evening, everybody.
Jim Hackett: Hi, there.
Emmanuel Rosner: My first question is trying to understand a little bit better how to think about the rest of the year? When I look at your cost performance in the quarter, maybe on slide 11, so $1.1 billion overall net basis, but $1.8 billion qualify this structural anyway to dimension for us how much of those structural costs are more temporary actions in the quarter, when you had shutdown for an extended period of time versus something that we could assume could continue on year-over-year business going forward and then still about the rest of the year’s outlook? Anyway for you to dimension for us the magnitude of the impacts on the F-150 change over either in terms of weeks of shutdown or units, anything that could be helpful to dimension?
Jim Hackett: So, Emmanuel, it’s Jim Hackett, I think, I’m going to send that to Tim.
Tim Stone: Yeah. Great. Thanks, Jim. So as it relates cost actions, we’ve been taking -- we have been talking about for some time now is the focus on fitness and design of the business. And so we’re going to continue to be passionately focused on making sure the right design for the business and with fitness as a priority. And so certainly, there are things that we appropriately undertook to preserve cash and reduce costs in response to the environment. But we’re also looking at opportunities to learn from this and identify areas to further accelerate our fitness and redesign opportunities that are ahead. So that’s really what I have to say and that -- otherwise essentially reflected in the guidance, we have the third and fourth quarters as we look out. And on the third -- go ahead.
Emmanuel Rosner: Sorry. The second part was around the…
Tim Stone: Yeah.
Emmanuel Rosner: …F-150 changeover?
Tim Stone: Yeah. On the F-150 side, we try to do is characterize it is more impactful than the UAW launch essentially, of 6 -- sorry, UAW contract bonuses of $600 million. So beyond that, there is not much more we can we can say. Certainly when you have America’s best-selling vehicle for 38 years and gaining share of best series in the quarter, you can see the popularity of that vehicle claiming to our overall business. So the ramp down, ramp back up with a successful launch will have a big impact on the quarter which to our expect we never loss.
Emmanuel Rosner: Okay. Thank you. And then I was hoping to get actually a little bit more from your latest thoughts from the global redesign plan and the opportunity to use this industry downturn potentially to accelerate this. I guess, in terms of the, I think, you mentioned during the prepared remarks that you expect $1 billion of benefits by the end of the year. I wanted to just first understand on what basis that is, is it for 2020 versus 2019 or is it since the beginning of the program and how to think about the opportunity to accelerate it, what are your latest thoughts there?
Tim Stone: As it relates to Europe comment, by the end of this year we expect to have roughly $1 billion improvement in structural cost actions since the beginning when was announced in Q3 ‘18 it’s cumulative. That includes the reductions of positions I mentioned 10,000 positions in Western Europe, 7,500 of which have been completed already, as well as 2,000 positions in Russia, as well as the reduction of manufacturing footprint by six facilities on a total of 17. So, again, we’re going to review our center in order to look at opportunities to make sure we’re the right design for the business as we look out at the opportunities ahead of us and nothing incremental to announce at this moment. But to-date, we’ve incurred $3.9 billion of EBIT charges and $1.4 billion of cash. So you with $7.1 billion to go, up to $7.1 billion to go and charges up to $5.6 billion in cash. The other thing you know, continue to execute on the result as well, so nothing new to announce at this time, but you’re keenly focused on it.
Emmanuel Rosner: Great. Thank you.
Jim Hackett: Thank you.
Operator: Your next question comes from the line of Philippe Houchois with Jefferies.
Philippe Houchois: Yes. Good afternoon. Thank you very much. I’ve got a couple of questions. One is when I listened to you, Tim, about the Q4 guidance going back into loss because of launch costs, it seems like a lot of their assumptions, also a weaker Q4 and things like that -- it’s not said that you’re definitely going back into loss, a lot would depend potentially on the sock. I wonder if you can comment and give us some kind of no diamonds on the range of outcomes potentially. Another question was also to you, in terms of -- now you’ve done quite an impressive work and terms of protecting cash and also starting to deleverage the capital structure. I couldn’t help noticing your interest expense almost doubled in Q2. That’s was a point of discussion with a lot investors that the interest expense is cut into earnings momentum. What are you doing, and how quickly can you actually get the interest expense under controls, so we can make sure we don’t lose the operating definition to the currency leverage?
Jim Hackett: Great. So let me start with the interest expense. It has ticked up as we bolster a balance sheet and ensure we have not only strong cash position, strong liquidity position, and it suits us very well. And then, as we looked out, we feel comfortable with our cash position and confident so that such that we repaid and roughly half of the outstanding revolvers that we drew down earlier this week.  And we’ll continue to look at opportunities to repay additional debt including revolvers over time as a business performed and -- I mean - anything announced at this time, but certainly we’ll be looking at opportunities to reduce interest expense and delever the balance sheet in that way is where am I as the debt levels come down, of course we have the $40 billion liquidity, as you repeat a line of credit, so feel comfortable with our cash and liquidity position. The interest expense for the back half of the year, you can assume roughly $0.5 billion per quarter will be a reasonable expectation. And then your question on S.A.R, year-to-date S.A.R was about 13.4 million units in the first half and we see this improving throughout the year. And beyond that, I think we’ll add more colors a year progresses. But we do see again an opportunity for it to improve as the year progresses.
Philippe Houchois: Thank you.
Operator: Your next question comes from the line of Rod Lache with Wolfe Research.
Rod Lache: Hi, everybody. I was hoping just to revisit that question about costs, that $1 billion of Europe savings is obviously a big number. But when I look at slide 11 on the bridge in Europe, when I look at costs, I see zero. And I’m assuming that that’s because your variable costs, mostly regulatory is offsetting your structural cost savings. So, just taking a higher level look the question about the $1.8 billion of structural costs and people are wondering whether that there is some significant proportion of that, that could be permanent, and some of that may be shifting from the first half the second half or coming back. Is there a risk here that your -- either the structural costs kind of get off go away, but the variable cost inflation that we see like material freight warranty that kind of space?
Tim Stone: Yeah. I guess what I want to say is that the team has been very focused on opportunities, not just during this time of COVID crisis, but before that to get more fit and improve our cost structure, you are seeing that 900 line results entering into the crisis. With the crisis, we’ve had an opportunity to further reassess how we work and what opportunities we have in our cost structure to demonstrate to ourselves, we can take swift action, again, the teams around the world has done a great job in all areas. We are certainly mindful of what you’re suggesting that these costs come back into the cost structure in ways that are unwelcome. But we’re going to do everything we can to make sure that well, it shouldn’t be volume related costs, but we’re going to get more and more fit over time.
Rod Lache: Okay. And just a question on the launches that you’re talking about, you talked about the disruption, but obviously, there is some pretty big benefits potentially next year. I was hoping you might just talk specifically about F-150 and what it would take to put that into the positive bucket that you need a significant amount of pricing to offset higher variable costs there. And on the Bronco, is it conceivable that you could produce 150,000 units a year there or is that just beyond the capability or the scope of what’s possible?
Jim Hackett: So, Rob, it’s Jim Hackett. I’m going to ask Jim Farley, can you imagine the calls we’ve gotten Rod about how many can you make so. He has been working on that day and night, so I’ll give him that in just a second. But I want to make sure I’m tracking with you on Europe in the sense that, you understand that structural costs effort ahead of the pandemic looks to be really precious, doesn’t it and the absorption there without the volume is because of the effort that these guys have put forward. So I’m not worried that as you just portrayed that there is a variable costs kind of avalanche that you know, smothers us, I don’t think that’s going to happen. Right now, we’re not anticipating big inflation, for example. In fact, suppliers are all trying to get back up to levels of efficiency where we start to enjoy some savings. So I just want to add that color to the way I think about variable costs. I understand why you were looking at the forecast, but I just step back and think about that. But Jim, do you want to talk about the Bronco, great news and the challenge.
Jim Farley: Yeah. Thanks, Jim. Hi, Rod. So, maps, right down the street from our Dearborn headquarters is where we will make Bronco as in North America and then the Bronco’s Ford down in Mexico. As far as the Bronco that we’ve received over 100,000 reservations that operations to shift pattern, so we have some upside. We have a lot of work to do because these are reservations not orders yet. So we have a lot of work to verify that the mix is great enthusiasm and we still continue to get lots of reservations. So the team has multiple capacity studies, we do have some opportunity, it would commit to another shift which is a big deal for us. As you can imagine, but obviously the reception has been really positive and looks sustained now. On F-150, we’re in the prototype build both in Kentucky and in Dearborn looks great. We’re on plan with the supplier readiness, manufacturer readiness and all the software, obviously this is a big milestone for OTA and lifestyle for us. So it’s important deliverable for the team. And we have a long way to go on the F-150 launch. But the team has made great progress. We’re finding issues and addressing them immediately. So we’re feeling like I would portrayed is on plan, and yes, there is upside for Bronco.
Rod Lache: Great. Thank you.
Operator: Your next question comes from the line of Joseph Spak with RBC.
Joseph Spak: Thank you. Tim maybe asked about the second half guidance you know this way. If there wasn’t a program delay, would you have basically issued the same guidance, just the cadence has been a little bit different?
Tim Stone: It’s hard for me to re -- undo what’s happened over the past few months. We’ve had -- the delays were having are commensurate with what happened as a result of the production shutdown. And the teams throughout that timeframe did a great job getting us ready for launch. And so if you look at the back half of the year in aggregate, we’re essentially guiding to less than $0.5 billion to $1.5 billion of profit. And certainly, there has been a shift to the fourth quarter as a result of those losses in the big impact on F-150 being in the fourth quarter.
Joseph Spak: Okay. And maybe just on cash flow and the balance sheet, so you pay back part of the revolver if we pro forma that for the June, cash and debt levels you indicated. You are sort of back to the December net cash levels. But then you do have at least some losses right in the fourth quarter or there is more CapEx a little bit more redesign cash here and something more beyond this year. So, I don’t -- I know you sort of usually talk about liquidity, not necessarily sort of net automotive cash or debt. But how do you see that sort of playing out. How do you see the balance sheets are playing out over the next couple of years, because there still are some calls on the cash I would see?
Tim Stone: Yeah. I mean, first, I want to emphasize for the third quarter, we expected cash flow to be higher than EBIT and the fourth quarter would be lower due to the timing of the working capital, social, the launches and the seasonal effects. As you look further out, from a liquidity standpoint, we have, of course, confidence in our ability to repay the debt that we have. We have net debt roughly equal to cash. And what we said was that even in scenarios where we have a COVID related plant closures again and/or demand declines that would have $20 billion or more in cash. So our certainly our base expectation is for more than that. And as we look out to the future, we’re focused on optimizing our free cash flow driving toward our long-term margin opportunities and with that will come even greater cash and liquidity opportunities for us to consider none of the pain downloads and credit, of course, but through paying debt, receiving the dividend and to dilute sharer purchases as well.
Joseph Spak: Thank you. 
Operator: Your next question comes from the line of Adam Jonas with Morgan Stanley.
Adam Jonas: Thanks very much. My first question is on EV batteries and it’s kind of a question about make versus buy. So GM is making their own batteries with a joint venture in Ohio with LG. You’re not going that route in terms of owning the physical plant capacity. What drives that thinking? And specifically there is a lot of options and this isn’t the only one, but Elon Musk has offered to sell batteries or like EV powertrain skateboards to other OEMs. Would you consider doing that?
Jim Hackett: Hey, Adam. It’s Jim. Thank you. It’s a question that when maybe a year ago, we started to see lines starting to arrange around, make versus buy own versus source. So we had a deep discussion about this. I’ve met with a number of the people that that are in the supply side of this and it was our estimation. In fact, our whole team went through a really deep dive on this six months ago that the supply chain has ramped up since EV his [ph] Gigafactory. And so there is plenty there that does not warrant us to migrate our capital into owning our own factory. There is no advantage in the ownership in terms of a cost or a sourcing as what Ford can draw on. So I just can confirm to you that it actually works. It works for us to go the path we are now. With that said, there is some challenges that are in that supply chain between themselves. There is some litigation that’s going on. We’re hopeful that, they get settled quickly. It really doesn’t matter to us how it gets settled, but it may, it confuses some of the suppliers about their investments in some of their plants here in the United States, which is another way of saying the way the U.S. MCA would benefit as intended is to have these factories be built in the United States for supply of batteries and so we’re well positioned believing that will happen.
Adam Jonas: Thanks. Thanks, Jim. And then I got a follow-up for Jim Farley. Jim, if it -- and I’m asking you specifically just because you’re kind of still -- I’ll still consider you new in your role, your new role. If you think three years out, how radically different is Ford motor company three years from now versus today. Can you kind of what are some of the big, big changes, not the subtle stuff, the major stuff that you want to highlight to folks on this call tonight? Thanks, Jim.
Jim Farley: Thanks Adam. Yeah. I would say -- I would characterize Ford’s transformation as we know what we’re really good at and we have tremendous opportunity to grow in those areas and commercial is a great example. It took us decades to build the commercial ecosystem we have today, exclusive distribution, bailment, upfitters, a deep relationship with customers, real deep know how in the company. As we look forward in the next three to five years, you can expect a Ford’s commercial business to change a lot and part of that is cooperation of Volkswagen in places like Europe, but other parts of it will be the mobility transformation of commercial. So I would say Adam, you can expect Ford’s transformation to be in the areas that we’re already really good at, we have capability and that we’re humbly approaching the business model and the ecosystem build out for those new growth opportunities with a fresh set of eyes. And just like we did decades ago when we built these businesses like commercial and it tremendous opportunity for value creation and for our customers especially. I think that gives you a good taste for how we see things as well as in much tighter geographic profile.
Adam Jonas: Thanks, Jim. Appreciate that.
Operator: Your next question comes from the line of Dan Levy with Credit Suisse.
Dan Levy: Hi. Good evening, everyone. Thank you for taking the question. I wanted to start with a question on Bronco here. And I know you don’t disclose your exact variable profit per unit, but maybe if you could just give us a sense from the perspective of variable, profit per unit, how we should think of where Bronco potentially could stack up versus other vehicles in the four lineup? Obviously it’s not going to be at the level of F-Series, I would think that’s been the case. But I would venture to guess though, that it could be right up there, maybe above an explore or just the below and expedition or navigator. Just give us some sense of from a profit per unit standpoint, how we should be thinking about Bronco and the opportunity, because we know that your competitor in this area and doing quite well in that product.
Jim Hackett: Yeah. So my first reaction I’m thinking, thank God we made the decision, right? Because you know what it replaced in the facility where we’re making in some of the sedans we’re making money. So you got to think of that with Adam’s last question about the makeup of Ford and what’s going out and what’s coming in and product. And Jim, I’ll let you talk about some of our targets there.
Jim Farley: Sure. Thanks Jim. Appreciate the question. The real breakthrough for us on Bronco was the localization of the Ranger that a very successful global Ranger here in North America. And we’re already have very strong scale and performance with the Ranger in the U.S. The large Bronco and the C2 Bronco Sport are both based on existing platforms that we have executed many times. And so we’re not going to go into specific profitability, but you can imagine compared to a Ranger, the kind of pricing that our Bronco Top Hat [ph] would get. And obviously we already have a great scale for the actual industrial part of the product. So -- and again the platform has been very well executed. It has global scale as the C2 for the Bronco Sport. And so we see these and the pricing premium, we care in the utility market, the off-road market it’s pretty well known and I would say very robust in terms of we’ve delivered it. It’s not, it’s not a maybe. So for our standpoint, as Jim said, we not only replaced the focus in the case of rough on and Ranger, but we’re coming off of very high scale platforms, C2 and Ranger. And we know that these segments executed right the product our premium segments. So we’re feeling really good about the margin.
Jim Hackett: And Jim, I just -- I want to sneak in, because you’ve all seen our campaign about, we build more vehicles in America for -- by Americans in the whole industry. And this Bronco is, look, we’re hiring people here in Southeast Michigan to build this product 2,000 to 3,000 additional people. So it’s a -- I know I get teased about it because it came up in the discussion with the President, but I was just so proud to be able to explain that here we are in the middle of a pandemic with kind of challenges in the job market and Ford’s going to be hiring people to build this product. So it’s really a great news story.
Dan Levy: Thank you. That’s really helpful color. If I could just squeeze one more in on Elon just a question EV budgeting, at least as you spent half of the 1$1.5 billion electrification commitment to a 22 and I believe that the starting point was 16. So it’s all us clearly your spend is more backend loaded. But obviously 2022 is not an end goal, and you’re going to be spending EV, as you’re just starting on the journey then. So is it fair to assume that if I assume, okay, so you still had $3 billion to $4 billion, $ 3 plus billion a year that the spend will only accelerate after 2022. So how to think of the electrification spend?
Jim Hackett: Yeah. Jim, do you want to take that one? 
Jim Farley: Sure. Again appreciate your question. Obviously of the $11 billion we’re at the very tail end of Mach-E and our two commercial vehicles. And they’re really key for us, the commercial vehicles, the Transit electric and the F-150 electric. We’ve announced the MEB and the number of nameplates and so you can expect in ‘22 and beyond as we refresh our product line up once again globally, that electrification will be a key component and so the spend will continue to play out. That figure was given a few years ago. So as you said, ‘22 seems like right around the corner, but, we’re not done. And with the $11 billion, we have some really exciting products coming out like the F-150 and the Transit, and with the growth of package delivery and a large commercial customer network for F-150 we’re are seeing a ton of interest from customers on both of those, but we have lots of passenger cars to come as well. We’re not going to be specific more than what we’ve shared, but I think you’ve characterized it fairly and accurately.
Dan Levy: Great. Thank you. That’s helpful color.
Operator: Your next question comes from the line of Ryan Brinkman with JP Morgan.
Ryan Brinkman: Hi. Thanks for taking my question. First on South America, I would have expected your losses there to grow considerably in 2Q given a 75% decline in revenue, but instead profitability improves slightly. Now it looks more of the help was coming from price and cost, but how would you rate the progress of the restructuring in that region? Are there more cost savings to come from action’s already announced, but not fully implemented and do you think you’re at the point now that if the volume returned that you would already be profitable or are there more restructuring actions needed to get there?
Jim Hackett: Well, I think, Jim mentioned this and Tim did is that South America, the journey there as compared to some of the other markets started. We phased out of unprofitable vehicles. We ended focused production and Pacheco exited heavy trucks business, discontinued Fiesta, ceased operations at San Paulo manufacturing based off the Sigma engine production. But Jim has been really working hard on the restructuring to serve a dealer network better in terms of our customers improving the availability for the remaining dealers. So I think this is a story that’s still yet to be completed. But Jim, I want to let you answer why you think in the short-term we had this better than expected performance.
Jim Farley: Thanks, Jim. The second quarter marks, I think, the third consecutive quarter of year-over-year improvements, although, still losses. And it really reflects, as Jim said, the progress that we put in place many years ago to restructure South America. We have a lot of cost containment. We’ve taken a lot of headcount out of the business as you would expect. And we’ve also in the second quarter took a lot of pricing, which is consistent with the currency situation down there. But I think allowing the team got ahead of the downturn we saw in the market with COVID that’s been a big beneficiary for us for a while. As Jim said, we’re going to keep restructuring our businesses until they’re sustainable. So still more work to do. South America looks pretty challenging, but the team is doing a great job. We have a slurry of new products few years ago and there was costs associated with that. So I think we have a really good still fresh lineup. We gained a lot of share in the second quarter. It was down about a point from last year, but that was a lot to do with the vehicles that we discontinued. So the vehicles we do have are very well accepted. I just would portray it as we are not -- we have more work to do as Jim said, but really big credit to the team and way down revenues to have a third consecutive improvement in our profit or losses.
Ryan Brinkman: That’s helpful. Thanks. And then just lastly, it seems like your market share in China is beginning to rebound of what would you primarily attribute the recovery to, was it the products, the relationship with Changan distribution strategy, localization of Lincoln, et cetera? And then are the pieces or future product programs in place to continue to grow that share, which I think had been like 4% at one point, is there a market share target that you have in mind that is materially higher than where you are now such that you could continue to grow your sales in that country even if the market sort of languishes for a while?
Jim Hackett: Well, I’m excited to tell you that the plan is working there. COVID was -- it kind of helped focus us, but the commercial vehicles strength was supported by a 34% increase in sales at JMC, which gained 40 basis points of share. And the second -- it’s the second consecutive quarter of share gain of 20 basis points, which is whether you’re hinting about. We were talking about it in a way that this was the breakthrough that we were looking for. I think, Corsair is the -- comes in the middle of this. It is the first locally produced Lincoln product and it breaks all records that we’ve had in one month for the sale of a product like that. It contributed to the 12% increase in sales for Lincoln and now the new Aviator is following on. My only regret is that the whole Board was going to be there in October just kind of review the progress that you’re noting and we can’t travel now because of COVID, but Jim Farley and Anning Chen, our President there had done a really good job of getting our arms around that market.
Ryan Brinkman: Thank you.
Jim Hackett: Okay.
Operator: Your last question comes from the line of Itay Michaeli with Citi.
Itay Michaeli: Great. Thank you. Good evening, everyone. So just a couple of cash flow questions maybe for Tim. I think year-to-date, the working capital and timing differences has been a use of about almost $5 billion. I am curious if you can share roughly how much of that you think you might be able to recover in the second half of the year? And then secondly to that with the CapEx down from the original guidance, we expect that to be recovered next year, meaning CapEx will be higher than normal, as you kind of recoup some of the deferrals from this year,
Jim Hackett: Let me start with the last part first. Thanks for the question. We haven’t completed our planning process for next year yet. We have said that for some time now that we’re focused on fitness activities, which not only includes costs, but also CapEx to make sure that we’re efficiently and effectively allocating capital. So we’ll continue to focus on that, and you’re seeing some of that reflected in the results on CapEx this year. So fitness, you also seen the ebb and flow of product programs, but we’re pleased with the progress that we’re making $1 million to $1.5 million down year-over-year, but again, nothing further to share at this stage on 2021. As far as working capital goes, bear in mind in the second quarter the working capital dynamics played out, we talked about production resumed, of course, during the shutdown period, we had payables who repaid and was production resumes as payables start getting no backup, but the restoration of payables continuing to the third quarter and that’s one of the reasons we said that the third quarter cash will be better than EBIT in the fourth quarter cash with the shutdown seasonally and launches that are happening particularly F-150, this cash flow would be lower than EBIT. So I guess what you’re seeing is not only the benefits from our fitness and our redesign and our underlying results improving in light of the COVID environment, but even underlying that, that’ll continue to play out for the back half of this year and then into ‘21, as we’re very keenly focused on all -- in all costs and cash opportunities. But as we’ve talked about earlier, we’re in a position now where we have a very strong cash position and liquidity position, and we’re comfortable with outlook as we look ahead.
Itay Michaeli: Great. That’s very helpful. And if I could sneak one more in, I’m just curious, what are you seeing initially on the four promise campaign that you launched about a month ago. I am just curious if you’re seeing a fair bit of traction there?
Jim Hackett: Jim?
Jim Farley: Yeah. I think, one of the really encouraging things for us leadership team, as Jim said, is we went out and promoted the reality that we’re the highest employment in the U.S. of all the OEMs and, and also our volume in the U.S. and that plus new products is really, we’ve seen a strengthening of our brand. The Promise campaign seems to do really well. We had a great second quarter in terms of share performance in the U.S. Retail, as Jim said, was way up full point, and part of that was mixed, but it’s great to see that moment behind the brand. Third quarter looks not to be dramatically different. We’ll continue to have good momentum, sales still lot to do. We have good supply situation and Ford in the 70-day range. And so the campaign seems to be doing really well, brands getting stronger, and we have product to sell.
Itay Michaeli: Great. That’s all very helpful. Thank you.
Operator: This concludes the Ford Motor Company Second quarter 2020 earnings conference call. Thank you for participating. You may now disconnect.